Operator: Good afternoon, ladies and gentlemen. Welcome to Workiva's Third Quarter 2025 Earnings Call. My name is Chuck, and I will be your host operator on this call. [Operator Instructions] Please note that this call is being recorded on November 5, 2025, at 5:00 p.m. Eastern Time. I would now like to turn the meeting over to your host for today's call, Ms. Katie White, Senior Director of Investor Relations at Workiva. Please go ahead.
Katie White: Good afternoon, and thank you for joining Workiva's Q3 2025 Conference Call. During today's call, we will review our third quarter results and discuss our guidance for the fourth quarter and full year 2025. Today's call will include comments from our Chief Executive Officer, Julie Iskow, followed by our Chief Financial Officer, Jill Klindt. We will then open up the call for a Q&A session, where we will be joined by Mike Rost, our Chief Strategy Officer. After market closed today, we issued a press release, which is available on our Investor Relations website, along with supplemental materials. This conference call is being webcast live, and following the call, an audio replay will be available on our website. During today's call, we will be making forward-looking statements regarding future events and financial performance, including guidance for the fourth quarter and full fiscal year 2025. These forward-looking statements are based on our assumptions as to the macroeconomic, political and regulatory environment as of today, reflect our best judgment based on factors currently known to us and are subject to significant risks and uncertainties. Workiva cautions that these forward-looking statements are not guarantees of future performance. We undertake no obligation to update or revise these statements. If the call is reviewed after today, the information presented during this call may not contain current or accurate information. Please refer to the company's annual report on Form 10-K and subsequent filings with the SEC for factors that may cause our actual results to differ materially from those contained in our forward-looking statements. Also during the course of today's call, we will refer to certain non-GAAP financial measures. Reconciliations of GAAP and non-GAAP measures are included in today's press release. With that, we'll begin by turning the call over to Workiva's CEO, Julie Iskow.
Julie Iskow: Thank you, Katie, and thank you all for joining us today. In Q3 of 2025, we delivered another quarter of strong financial performance, powered by the continued demand for our broad portfolio of solutions and our AI-powered platform. We beat the high end of our revenue guidance with 23% growth in subscription revenue and 21% growth in total revenue. On a year-to-date basis, we've delivered 22% subscription growth and 20% total revenue growth. This performance underscores the resilience of our business and the focused execution by our team at Workiva and our partners. As a result of the Q3 revenue beat, we're increasing our full year 2025 revenue guidance. We continue to deliver value to the market because we focus on customer needs. Our customers need to trust the numbers they're disclosing. They need to provide transparency across their business, both financial and nonfinancial information. And yes, they must be accountable with assurance as a requirement every step of the way. So our customers are looking to us and our platform to solve their most challenging problems. This value we deliver to our customers is highlighted by the continued growth in our large contract cohorts. In Q3, the number of contracts valued over $100,000 increased 23%. Those over $300,000 increased 41% and contracts valued over $500,000 increased 42%, all compared to Q3 of 2024. This large contract growth was driven by both additional solution sales within our existing customer base and the landing of larger new logo deals. At the same time, we delivered a non-GAAP operating margin of 12.7%. This is a 470 basis point beat on the high end of our guide. It's also an 860 basis point improvement compared to Q3 of 2024. With this margin beat, we're raising our full year 2025 non-GAAP operating margin guide by 200 basis points at the midpoint. These results reflect our continued focus on durable growth and meaningful margin improvement. They also demonstrate tangible progress toward our medium- and our long-term operating margin targets. We believe that our disciplined execution and our operating rigor position us to deliver additional leverage over time. I'll move on now to provide some representative Q3 deals. These customer wins provide meaningful insight into our business. They highlight the breadth of our solution portfolio, the location and the types of customers that we're selling to and the role that our partners play in the adoption and the success of our platform in the market. I'd like to start off with a few deals that demonstrate our continued success as a global platform company. First, a top 5 global pharmaceutical company signed a mid-6-figure 2-solution account expansion deal for sustainability reporting and policy management. Already a 13-year loyal SEC reporting customer, they nearly tripled their spend with the platform expansion into the GRC and sustainability solution categories. This global organization invested in the Workiva platform to support their sustainability road map. The road map includes requirements across CSRD, ISSB and other local requirements in some of the 100-plus countries in which they operate. The deal was sourced and it will be delivered by a Big 4 firm. Second, a North American telecommunications and media company signed a mid-6-figure account expansion deal for 4 solutions. The deal included audit management, controls management, operational risk and sustainability. This 9-year loyal SEC customer more than doubled their spend with this account expansion and now uses 6 solutions on the platform. There were several business drivers behind this deal. They included replacing multiple GRC solutions and consolidating on a single platform to drive efficiency and cost savings, enabling risk mitigation across sustainability and operations and providing support for an integrated annual report, combining both financial and nonfinancial information. Workiva was the only solution evaluated that could address all 3 of these requirements on a single platform. The deal was sourced and will be implemented by a Big 4 firm. And third, we closed a high 6-figure expansion deal with a European-based energy services company. The deal covers 6 solutions, sustainability reporting, controls management, enterprise risk management, policy management, compliance and operational risk management. The customer first adopted Workiva back in 2022 for ESEF reporting. It has since increased its annual spend more than eightfold, now exceeding $1 million in annual subscription revenue. This was a competitive win over multiple GRC solution providers and multiple sustainability reporting solutions. The deal was sourced and will be delivered by a Big 4 firm. Our deal momentum extends beyond platform-wide wins. We continue to land and expand with the financial reporting category, which remains a durable growth area for us. A key financial reporting driver is our multi-entity reporting solution, purpose-built for multinational organizations managing complex global structures and operations. A strong Q3 example of a multi-entity reporting deal is a 7-figure expansion with a leading global oil and gas company. This customer more than doubled its spend and now leverages 6 Workiva solutions. As part of a multiyear financial transformation tied to ERP consolidation and an S/4HANA migration, Workiva will enable the modernization of their local statutory reporting across 300 legal entities. This deal was sourced and will be delivered by a regional consulting firm. Another example of our multi-entity reporting deal momentum is a mid-6-figure account expansion with a U.S.-based global manufacturing company who's been a Workiva customer for 14 years. The deal adds 2 financial reporting solutions, multi-entity reporting and regulated financial reporting, and it increases the customer's annual spend nearly fourfold. Both solutions replace legacy manual processes previously managed through desktop tools. The deal was sourced and will be delivered by a regional consulting firm. Expansion deals aren't the only driver of financial reporting growth. A strong new logo win in Q3 was a 4-solution deal with a European export credit corporation. The customer adopted Workiva for SEC reporting, ESEF reporting, bank regulatory reporting and sustainability. They're pursuing 2 major initiatives, standardizing SEC and ESEF reporting on a single platform and preparing for CSRD compliance as a Wave 1 filer. Workiva was the only solution evaluated that could support their integrated reporting requirements across both sustainability and financial reporting. This deal was a co-sell and will be delivered by a Big 4 firm. I'd like to move on now to one of our vertical-specific solution categories, financial services, and I'll highlight just a few of our Q3 wins in this vertical. First, we secured a mid-6-figure new logo with one of Europe's top 10 banks. The customer adopted 5 solutions, SEC reporting, ESEF reporting, sustainability reporting, multi-entity reporting and bank regulatory reporting. The deal replaces multiple on-premise systems and manual spreadsheet-driven processes. Multiple Big 4 and global consulting firms participated in the co-sell effort. Delivery is to be executed through several Workiva partners. Second, we closed a 7-figure new logo deal with a European fund services administrator. This was for fund reporting. This was a competitive win over the incumbent on-premise software solution. The customer selected Workiva for 2 key reasons, our ability to scale reporting across 2,500 funds and our platform's clear differentiation from legacy technology. The deal was sourced and will be implemented by a Big 4 firm. Turning to sustainability. Demand remains steady as organizations respond to expanding stakeholder expectations and evolving regulatory mandates. First, a top 5 global payments provider signed a 6-figure expansion for Workiva Carbon. They purchased our carbon solution to support multiple regulatory frameworks as well as the California climate disclosure rules. The deal replaced a legacy carbon accounting system and represented a competitive win over 4 alternative solutions. The customer has been publishing a global impact report for 7 years aligning its disclosures with GRI, SASB, UNGC and the UN SDGs. But it found that its prior carbon accounting system was insufficient to meet the evolving requirements. This deal was a co-sell and will be delivered by a Big 4 firm. Second, a top 5 Australian bank signed a 6-figure expansion for sustainability reporting. It was to meet the new Australian sustainability reporting standards, AASB S1 and S2. These standards require sustainability disclosures within annual filings, and they cover governance, strategy, risk management and Scope 1, 2 and 3 emissions. Australia's approach demonstrates how regulators are embedding sustainability into financial reporting through ISSB alignment. Approximately 1,000 organizations qualify as Group 1 filers with the first mandatory reports due June 30 of 2026 for June year-end entities. This deal was sourced and will be implemented by a Big 4 firm. Let's move on now to GRC, which in Q3 included several notable wins. First, a U.S. financial holding company signed a mid-6-figure expansion for enterprise risk management, a Workiva SEC reporting customer since 2012, this firm has expanded into 7 solutions across the platform, including multi-entity reporting, living will, stress testing, bank regulatory reporting, sustainability reporting and now enterprise risk management. This most recent expansion increased annual spend by 25%. The new solution will centralize 45 internal enterprise risk reports covering risk metrics, categories, subcategories and risk statements. The deal was a co-sell and will be implemented by a Big 4 firm. Second, a U.S.-based regional community bank signed a multi 6-figure expansion for 3 GRC solutions, controls management, operational risk management and policy management. A 13-year SEC reporting customer, the bank now uses 5 Workiva solutions. This expansion more than tripled its annual spend. The deal was sourced and will be delivered by a regional consulting firm. Wrapping up our solutions section. Here are a few highlights on capital markets. Q3 saw a notable uptick in IPO activity. Workiva supported several high-profile IPO listings, including Sigma, Klarna, HeartFlow and Shoulder Innovations. For Workiva, an improving capital markets environment extends well beyond the S-1 filings. First, we engaged with private companies years before they go public, through our private company reporting and internal control solutions. We believe that a stronger IPO outlook increases the incentive for companies to invest early in scalable reporting processes. And second, more SEC registrants expand the addressable market for additional Workiva solutions, including SEC and SOX reporting, even in instances where we're not directly involved in the S-1. We are encouraged by Q3 IPO activity and the economic environment supporting the rebound. We're optimistic that the IPO momentum will continue into Q4 once the U.S. government shutdown ends. Let's shift focus to discuss innovation. In September, we hosted Amplify, our annual user conference. We welcomed over 2,300 customers, partners and investors in Washington, D.C. We showcased our commitment to innovation, and we launched product enhancements to continue to meet and exceed our customers' growing expectations. During the event, we announced several agentic AI extensions, and we launched Intelligent Finance, Intelligent Sustainability and Intelligent GRC. Each delivers specialized fit-for-purpose capabilities that enhance customer speed, agility and confidence. These offerings leverage the fact that the Workiva platform is intelligence ready. Being intelligence ready means that all data and narratives are structured, consistent, traceable, interpretable machine readable and built with context, not just content. This is what differentiates Workiva. Our reports are structured, validated data products, not static documents, They allow AI and automation to read, reconcile and publish with full lineage, embedded controls and regulator-grade assurance. We also embed global frameworks and taxonomies directly into the platform, transforming every report into a machine interpretable data product. As a result, AI can operate without guessing what's material, how metrics are defined or how to compare them. With Workiva AI at the core of our unified platform, we're delivering an intelligent companion that enables customers to achieve their most critical outcomes faster and with confidence. A great example of how our AI capabilities are driving value to our customers is a Q3 multi 6-figure new logo win with a rapidly growing privately held defense contractor. The customer purchased 4 solutions, controls management policy management, compliance management and private company financial reporting. It was our AI-powered GRC capabilities that differentiated us from the competition. This company is building their first controls management framework. They're creating company policies and building a compliance program for the cybersecurity maturity model certification. This is a prerequisite for doing business with the U.S. military. By leveraging Workiva AI, including the AI-powered control creator, the customer will author and implement policy control and compliance frameworks in-house, reducing reliance on third-party consulting spend. At Amplify, we also hosted our Annual Investor Day. We detailed our commitment to both durable growth and improved operating leverage. Our recent margin progress in 2025 reflects the disciplined approach we've been taking to achieve greater operating leverage in the business. Since the start of the year across every function, every department and every team who have been focused on 4 themes. First, organizational and operating model redesign, We're simplifying span of control and reducing layers. We're evolving the operating model across sales, customer success and R&D and we're putting a greater emphasis on performance management. These ongoing efforts will provide a structure that reduces duplication and strengthens execution. Second, process streamlining and automation. This includes both single and cross-functional initiatives. We're streamlining and improving workflows and leveraging technology where it brings value. And yes, that includes the automation of routine tasks and the use of AI. Third, optimizing product and go-to-market resources. We're sharpening our investment discipline so that we can direct resources towards initiatives with the highest likelihood of success and the greatest customer value. And finally, more focus on fiscal discipline. We're exercising greater financial discipline across all functions. Together, these focus areas are designed to increase productivity as we grow and scale, and drive greater operating leverage across the business. By functional area, here's a quick summary of our productivity initiatives. For cost of sales, we're scaling digital support optimizing cloud computing costs and shifting low-margin setup and consulting services to our partners to get greater leverage. For R&D, we're focused on workforce diversification, engineering productivity and scaling our operating model. Finally, we do recognize sales and marketing is where we have the largest opportunity to drive additional efficiency and productivity. Our approach is practical, to minimize the risk of disrupting growth as we continue to focus on capturing our large and expanding TAM. We've targeted 3 areas to improve sales productivity. First, transitioning to a more efficient sales structure and creating better alignment of sellers to territories. Second, a focus on staff which includes up-leveling our seller expectations and bringing in new hires that have seen scale, sold platforms and know how to win with strategic partners. And third, we're bringing even more precision to where and what we sell, optimizing our coverage models to improve efficiency, drive focused new logo growth and achieve greater account expansion. We're committed to staying in the lead and going after our growth opportunity, while at the same time, improving productivity within and across our organization. Finally, I'd like to share an important leadership update. After over 15 years with Workiva, Michael Hawkins is stepping down from his role as Executive Vice President and Chief Sales Officer, effective today, November 5. Mike has been part of Workiva since our early days, and he's helped to shape the company that we've become. Mike has played a key role in our evolution from a single solution company in the U.S. to adjusted global platform serving thousands of customers. I'd like to thank Mike for his years of leadership, his dedication to our mission and his many contributions to our success. His impact on our people, our customers and our growth will be felt long after his departure. We also announced today the appointment of Michael Pinto as our new Executive Vice President and Chief Revenue Officer. Michael's career spans more than 25 years, driving rapid growth for some of the world's largest technology companies. Most recently, he was the Senior Vice President and General Manager for the Americas at Databricks, a $4 billion revenue run rate data and AI company. Prior to Databricks, he held senior sales leadership roles at Amazon Web Services, Medidata and SAP. Michael will oversee Workiva's global sales, partnerships and alliances and commercial operations. He'll focus on scaling and accelerating profitable growth, modernizing go-to-market strategies, strengthening customer engagement and advancing global expansion. We believe that his leadership experience, his track record of guiding multiple companies to scale and his deep understanding of enterprise SaaS strongly align to what's required for our next phase of growth. Finally, a brief update on our CFO search. We have identified a final candidate but we're not yet able to provide detail at this time. As you know, bringing in a sitting public company CFO is a complex process. And there is a sensitivity in the timing of the communications and the announcements. In closing, I'd like to thank our team of dedicated employees across the globe for their relentless focus on innovation, our customers' success and our go-to-market execution that continues to fuel our growth. I'd also like to acknowledge their disciplined commitment to productivity and performance that's driving measurable improvement in operating leverage in our business. And with that, I'll now turn the call over to Jill to walk you through our financial results and updated 2025 guidance in more detail. Over to you, Jill.
Jill Klindt: Thank you, Julie, and good afternoon, everyone. Thank you for joining us. Today, I will begin by providing an overview of the financials and key metric highlights for the third quarter of 2025. I will then provide guidance for Q4 and the full year 2025. As Julie discussed, we had a strong Q3, generating $224 million of total revenue, up 21% over Q3 2024 and beating the high end of our revenue guidance by $4 million. There was an approximately 1 percentage point positive impact on revenue growth due to foreign currency fluctuations. Q3 subscription revenue was $210 million, up 23% from Q3 2024. Both new customers and account expansions continue to contribute to our solid revenue growth with new customers added in the last 12 months, accounting for 40% of the increase in Q3 subscription revenue. Q3 professional services revenue was $15 million, flat versus Q3 2024, with decline in setup and consulting services, offset by higher XBRL services. Our non-GAAP operating margin for the quarter was 12.7%. This 470 basis point beat on the high end of our guidance was driven by stronger-than-expected top line results, increased PTO usage and continued focus on operational efficiency and productivity. I'll now move on to our performance metrics for the quarter. We had 6,541 customers at the end of Q3 2025, a growth of 304 customers from Q3 2024. Our gross retention rate was 97%, exceeding our 96% target. And our net retention rate was 114% for the quarter versus 111% in Q3 2024. Similar to revenue growth, there was an approximately 1 point positive impact on NRR due to foreign currency fluctuations. During the quarter, 73% of our subscription revenue was generated from customers with multiple solutions. This is up from the 68% we achieved in Q3 2024. Growth in our large contract customer metrics also reflected strong momentum. As of the end of the second quarter, we had 2,372 contracts valued at over $100,000 per year, up 23% from Q3 the prior year. The number of contracts valued at over $300,000 totaled 541, up 41% from Q3 2024. And the number of contracts valued over $500,000 totaled 236, up 42% from Q3 2024. Moving on to the balance sheet and cash impacts. As of September 30, 2025, cash, cash equivalents and marketable securities were $857 million, an increase of $43 million over the prior quarter end. In Q3, we used a portion of our generated cash to repurchase 126,000 shares of our Class A common stock for $10 million. This was done under the share repurchase plan approved by the Board in July 2024. As of the end of the quarter, we had $40 million remaining of the original $100 million authorization, which we will continue to deploy periodically in order to help manage dilution. As of September 30, 2025, we expect $701 million in remaining performance obligations to be recognized over the next 12 months. This is an increase of 21% versus the prior year. I also wanted to discuss a couple of notes on the PTO program changes I shared at our September Investor Day. In the U.S., we will be transitioning from our current accrued PTO program to a flexible time off plan at the beginning of 2026. As the accrued PTO was used, it will have a positive impact to op margin, but this impact will not flow down to our free cash flow margin. There will not be a onetime cash impact on the balance sheet due to this transition. Turning now to our outlook for Q4 and full year 2025. With our outperformance in Q3, we are now raising our full year revenue guide and increasing our operating margin guide to reflect our ongoing commitment and focus on driving both durable growth and improved operating leverage across the business. With that in mind, for the fourth quarter of 2025, we expect total revenue to range from $234 million to $236 million. We expect services revenue will be down compared to Q4 2024. We expect non-GAAP operating margin to be in the range of 16.7% to 17.4%. For the full year 2025, we are increasing total revenue guidance to range from $880 million to $882 million. Similar to 2024, we expect total services revenue will be down year-over-year as we move low-margin services to our partners. We now expect subscription revenue growth will be at least 21% year-over-year. We now expect our non-GAAP operating margin will range from 9.2% to 9.4%. This 200 basis point improvement at the midpoint reflects our revenue beat and our ongoing commitment to drive expanding operating leverage in the business. We now expect 2025 free cash flow margin to be approximately 12%. As we look to 2026, I want to provide some early comments on next year in order to help with your modeling. In 2026, we expect to make continued progress towards our 2027 medium-term revenue and operating margin goals. We expect XBRL services revenue will continue to grow at a modest low single-digit rate in 2026, while we expect setup and consulting revenue to decline from 2025 to 2026, as we continue to move low-margin services to our partners. The net result will be relatively flat total services revenue for the year. Similar to 2025, we expect operating margin in the back half of 2026 will be stronger than the first half. We expect momentum on improved operating leverage to continue well beyond next year. Julie walked you through our approach to improving productivity and driving operational efficiency within the organization, while executing on our long-term profitable growth strategy. Year-to-date, we've raised our full year 2025 operating margin by over 400 basis points from 5% to 5.5% at the start of the year to 9.2% to 9.4% today. This improvement reflects how thoroughly operational rigor is being embraced by every employee across the organization. Our commitment to productivity is at the core of our short-term strategy and long-range planning. As you all know, this is my last earnings call. I wanted to say how proud I am of everything the Workiva team has accomplished over these last 17 years. I look forward to watching the company achieve its highest potential in the months and years to come. I also want to thank my amazing team. It has brought me great joy to get to know and work with each and every one of you. You all have made my time here meaningful and truly special. I hope your path forward is filled with rewarding challenges, exciting opportunities and significant achievements. To our analysts and investors, it has been a pleasure working with all of you over the years and I wish you all the best. Thank you all for joining the call today. We're now ready to take your questions. Operator, please open the line for Q&A.
Operator: [Operator Instructions] And the first question will come from Rob Oliver with Baird.
Robert Oliver: I had 2. But first, Jill, just wanted to say best wishes. It's been a pleasure working with you. And good luck to Mike Hawkins as well. First question, Julie, is just around platform sale, you made reference to some competitive consolidations within some of the wins you had this quarter. And I guess, kind of a bigger picture question, when the office of the CFO buyers are thinking about kind of applications aligned with underlying data and workflow integrity, are you starting to see a bit of a tipping point where more of these functionalities, whether it be things within GRC or things within the financial suite around filing are starting to be consolidated around a single buyer, and should we expect that to happen more in the next couple of years and color you have there would be great. And then I had a quick follow-up.
Julie Iskow: Sure. Thanks, Rob, for the question. And I would say that the trend that you're describing is a trend and it probably comes from 2 things really. One is the age-old just consolidation when companies are looking to take more responsibility for their productivity, for their efficiency and so forth. That's one. Just -- there's so many benefits to a platform, and we've seen that since day 1 as we've evolved to the platform. It's just a responsible thing to do in the CFO and the CIO office, of course. But then there's the trend of data and the importance of it and the ability to leverage it and how it works across all of our solutions. And certainly, there is a recognition. You see this by our increase in expansion deals that there's a recognition that these solutions in the office of CFO played better together. We have capability that makes them better together and that data, that's one of our key competencies really is the ability to bring all that data together, the financial and the nonfinancial CFOs get a much better and more comprehensive view of their business. And so I would say it's, one, for the efficiency of the platform, but, two, also data, particularly with AI and so forth and be able to leverage it and get better insights more quickly. It's just way more important now we have the tools and the capabilities to be able to leverage it. And our platform is unique in that we have all of these capabilities together, and our customers get a much more holistic view and they're able to leverage that for better business decisions and speed and accuracy and so forth. So 2 reasons why the trend you've spotted is going to continue.
Robert Oliver: Great. Very helpful. And then just a quick follow-up around, you guys touched on at the Analyst Day portion down in D.C., the kind of a new approach to pricing around good, better, best. And I just wanted to get any color you could provide around early reads or indications around the acceptance of that pricing? I mean, I know you guys are already not a seat-based model. So you're not facing at least from what we can tell any of the risk or concerns around that. But would be interested to know what the early indicators are on the pricing change?
Julie Iskow: Sure. And this is nothing we are disclosing at this time. It certainly plays a positive role in our expansions. We can share that. And again, early on and looking forward to doing more of it and rolling it out in a broader way across the platform. But thank you for highlighting. It's a great way to get our additional capabilities in and roll them out and get increased adoption. So thank you, Rob.
Operator: Your next question will come from Steve Enders with Citi.
Steven Enders: Okay. Great. And Jill, great to have worked with you over the years. Maybe just starting with you, I want to touch a little bit just on the early kind of view in the '26. I appreciate some of the guide points there. But maybe how should we think about the kind of continued operating margin expansion. Is it -- does it seem a little bit more kind of straight line from here to the medium-term targets? Or is there still a view of a hockey stick? And then I guess, secondarily, just, is there any way to maybe frame the magnitude of the accrued PTO change and the impact that might have on margin over this year or in the next year?
Jill Klindt: Sure. Thanks, Steve. For the op margin for 2026, as I mentioned, we do expect, as the trend has shown for the past couple of years, for margins to be better in the second half versus the first half. We will continue to have that seasonality. Thinking about the trajectory towards our 2027 medium-term target, we will continue to make progress, and you saw us make great progress this year. We're very pleased with the guidance that we're providing and the progress that we've made and everything that Julie has talked about as far as the company focusing on that margin improvement and focusing on productivity and getting leverage from our existing resources will continue into 2026. And so we will continue to see the results of that work throughout the year. We're not going to provide a specific number on margin for 2026 at this time, but I can tell you that we will continue to progress towards our updated 2027 medium-term target, the updated amount that we provided during our Investor Day in September. And then related to PTO, just as the second part of your question related to the PTO portion of that question. If you -- you can always take a look at our footnotes and looking at the balance of our accrual at the end of Q3, it's at around $19 million. A large portion of that would be from the U.S. Our accrued PTO balance will never go to 0, but as far as helping to build some models, we will see that balance continue to decline, and we expect the U.S. portion of that balance to decline significantly through the end of 2026.
Steven Enders: Okay. Perfect. That's helpful. And then just on the, I guess, the large deal execution. I mean, I think for the past couple of quarters, we've seen record adds in the $300,000 and $500,000 customer level. But I guess, anything to call out that maybe is helping drive that or support the strength there? And then I guess, how do we think about maybe the forward trend there continuing as you look at the pipeline going into Q4 and into next year?
Julie Iskow: Sure. I can take that. And I'll say again, probably a two-pronged answer. One, the platform is resonating, and we are just -- we are getting better at selling it. So I think it's those 2 things. It's execution and the platform resonating the market. So just again, these solutions with the platform that has all of these capabilities unified together with data, with the capabilities we continue to roll out, it is resonating in the market across financial, nonfinancial and assurance. And we also have a team, a go-to-market team that is executing and they continue to get more capable of selling with partners, of selling larger deal sizes and selling multi solution. We just continue to get better and better in execution. And I think those are the 2 reasons that you are seeing that trend.
Operator: The next question will come from Alex Sklar with Raymond James.
John Messina: This is John on for Alex. Wanted to ask here on the capital markets activity. Can you maybe touch on the deal pipeline there? It certainly sounded like IPO activity or your share of IPO activity picked up. But can you maybe talk about the reasons behind that? And maybe any early perspective on how things are shaping up for 2026? And then I have a quick follow-up.
Julie Iskow: On capital markets, specifically, we can comment on that certainly. One of the questions we get most consistently on earnings calls is around the capital markets. And we did see an increase in activity this quarter. And we had a lot of great high-profile IPOs, Sigma, Klarna, HeartFlow, et cetera, and we're encouraged by it, but we also know we're in the midst of a shutdown. So we expect it to continue once the shutdown goes away, if and when, And so we do expect it to come -- the momentum to continue on post that. We don't talk about, of course, forward-looking activity around our pipe. But we did give guidance for the quarter. So you probably have an idea about how we're thinking about the next quarter.
John Messina: Okay. Helpful there. And then on the international side, continue to see positive momentum there in business coming from international markets. Can you maybe talk a little bit more about what you're seeing internationally, maybe how sales cycles are trending there versus domestic markets? And then maybe any differences you'd call out in multiproduct adoption internationally versus here in North America.
Julie Iskow: Sure. Year-to-date, revenue outside of the Americas represents, at this point, greater than 19% of our total revenue compared to 17% in the year about a year ago. And we continue to put focus on it. Europe has become a strong story for us in the past 12 months. Demand has been healthy. And it's essentially broad-based as it is across our -- all regions really, it's broad-based in the region. We're selling the value of the platform. We've got the multi-solution deals, partner-led, we're getting new logos and account expansion. So we continue to remain optimistic about the market opportunity and the future growth there. So good healthy demand, broad-based.
Operator: Your next question will come from Jacob Roberge with William Blair.
Jacob Roberge: Jill, it's been great working with you, best wishes moving forward. Julie, can you talk a little bit more about what you're seeing in the demand environment? I know you all have talked about some macro uncertainty over the past few quarters, but both revenue and bookings growth continued to be very strong. So it would be great to hear what you're seeing in the environment and just how the Q4 pipe is shaping up.
Julie Iskow: Sure. I mean, this year has been defined by consistency, but it's consistent uncertainty. Just a lot of change. Changes are different every week, day, tariffs, policy changes, elections, government shutdown, inflation, rate cuts, the list just goes on. But the Workiva teams just continue to execute through the consistent change. And as we've mentioned in the past many times, our broad portfolio of solutions gives us a resilient business. But make no mistake about it, there is definitely uncertainty out there. but we are powering through with our value proposition, and it's a good one in these times, providing transparency, accountability and trust, and it just continues to resonate in the market.
Jacob Roberge: Okay. That's helpful. And then just on GRC, from the Analyst Day in your prepared remarks today, it seems like there's some good momentum with that business right now. What do you think has changed for that business over the past year that's helping drive that growth?
Julie Iskow: Something went wrong there. Can you say which business you're talking about? I missed it.
Jacob Roberge: I was talking specifically about the GRC business and just some momentum you're seeing there.
Julie Iskow: Yes. Again, we continue to be very competitive in that market, rolling out capabilities, but we're seeing in the market a move to a cloud. And we are, again, moving strongly there on our execution. There's a lot of legacy software out there and teams are getting stronger and stronger and also many multi-solution deals there. So it's a great platform expansion. It's a land capability. So it just continues to get strong and continue to move on the trends of legacy software removal and also move to the cloud.
Operator: Your next question will come from Brett Huff with Stephens.
Brett Huff: Congrats on a nice quarter. First one is, can you give us an update on how the base that is kind of your core base of the SEC reporting. I know that was going to be a big focus of potential cross-sells and sort of returning to those folks also with the good, better, best upgrades. To us, that seems a really big asset that you all have that you're just starting to really go back to. Any update on that on how that's going, how the conversations are evolving?
Julie Iskow: Sure. Thank you for highlighting that. I mean our base is, of course, one of our tremendous assets with 95% of Fortune 100 to 85% of the Fortune 1000. We are executing well on account expansion. I highlighted a number of those deals on the call today. You can see some longtime SEC reporting customers moving into our other categories. So that account expansion is very strong. We also highlighted our account expansion and the percentage increases for those with ACV over $300,000 and $500,000 in the low 40%. So it is a -- an absolute focus for us is expanding into the installed base and bringing them more value and bringing the unified platform and all the capabilities.
Brett Huff: That's helpful. Just final question for me. Can you talk a little bit about some of the nonregulatory drivers from the FSG product? I think last quarter or maybe at the Analyst Day, you were talking about some of the science-based targets and things like that, you're still seeing good momentum there. Beyond sort of the direct regulatory drivers, is that still a part of the conversation still driving new logos for you all?
Julie Iskow: Yes. I'm glad you brought sustainability up. It's very simple. It just -- it remains a strategic solution for us. Has the near-term tailwind subsided? Yes, and we've been open about this, but we continue to win large deals in the sector. And you said it yourself, and it is beyond regulatory drivers. There's business performance, there's risk management, companies wanting to be resilient. They want to manage stakeholders and they're tracking to yes, those science-based targets you mentioned. So yes, it's regulation worldwide, but it's also a number of other factors that are driving this business. And again, it does remain a strategic solution for us.
Operator: The next question will come from Adam Hotchkiss with Goldman Sachs.
Greyson Sklba: This is Greyson Sklba on for Adam. And Jill, it's been great working with you. I wanted to actually start on the sustainability demand environment. I know you touched on it briefly. Is it fair to say that you're seeing a similar softer demand environment in that space than what you called out in the previous few quarters? Or did you see a little bit of improvement there in 3Q? I just want to marry that with some of the strong sustainability deals that you called out in your prepared remarks.
Jill Klindt: So as far as sustainability and what we're seeing currently, you just heard Julie talk about the -- that some of the -- we haven't had the same tailwinds and we talked about this, this year, but it has still been a consistent driver. You heard her talk about some of the deals that we were able to close during the quarter, and we still see demand as far as sustainability reporting that's not tied to regulatory drivers. And so we would say that it's a similar story to what we were seeing that it has not -- or ever gone to 0 that we continue to sell sustainability, and we believe it will have -- there'll be a long demand within that solution for us.
Greyson Sklba: Got it. And I also just wanted to quickly ask on the free cash flow margin guidance. I saw you brought that back up to where it was in the beginning of the year. And so I'm just curious, what are the drivers behind that and sort of bringing that back to the 1Q guide.
Jill Klindt: Yes, sure. Thanks for the question, Greyson. So thinking about our free cash flow margin, early in the year, we did have, back to sustainability, we had the moderation in demand for that business in the first half. And so it did influence us to reduce our free cash flow margin earlier this year from our original 12% that we have guided. And then since then, though, we have seen improvement in our op margin, which, of course, is a tailwind to our free cash flow margin. And we've also seen, as we talked about, improvement in Q3 and had good business during that quarter as well, and we're pleased with the results. And so it's going -- it's a combination of all those things that are influencing the -- our ability to bring that guide back up to 12% for free cash flow for the full year.
Operator: The next question will come from Andrew DeGasperi with BNP Paribas.
Andrew DeGasperi: Thanks, and good luck, Jill, for the future. It's a pleasure working with you as well. I wanted to ask a question on the appointment of Michael Pinto as Chief Revenue Officer. I know titles matter. And I don't remember a Chief Revenue Officer per se being at Workiva recently. Can you maybe elaborate, why is that if it is or if I'm wrong, a meaningful change in terms of that person being in charge of sales organization? And what do you expect -- what changes do you expect him to bring forward or if there's any change in the reporting lines in terms of what -- how it was before.
Julie Iskow: Sure. I'll start by saying Michael is being brought in to take our go-to-market machine to the next level. It's -- the change is all about future growth and scale for us from $1 billion to the multibillions, building scale and efficiency in the sales organization, accelerating our high-performing partner ecosystem, driving new logos, account expansion, revenue retention activity, all of this in partnership with our go-to-market teams, marketing and customer success organizations and so forth. So that is why he's here. It's all about the next era of growth for us. On this title, I mean, we looked at market standard titles for the role. He's taking on the global sales organization, the partnerships and alliance and all the commercial organizations. So this is the title and the role, and we're enthusiastic about having him in and look forward to what he's bringing.
Andrew DeGasperi: Got it. So it sounds like there's been a change in terms of the people that report to him to a degree or to that role before. But in terms of also -- I noticed the change in tone this earnings call, just in terms of your focus on efficiency, both across sales and marketing, R&D and gross margin expansion, of course. So am I right to think that there's been a shift pretty much since the Investor Day in terms of improving that and you're actively taking steps to meaningfully drive that to get to those midterm targets you laid out?
Julie Iskow: Sure. We have been working towards those targets and just improving productivity across the organization. We did roll it out in Investor Day, but we've have these plans. We've been working across the organization, whether it's automation efficiency, AI. We've been bringing in new roles across the organization, people who have been there and done that at scale. We have strong leadership across the organization, some of which is new. We've talked for a long time about having a blend of those people in the organization who've been here are evolving. We've been talking about them going out with -- understanding the customers, understanding our industry understanding our markets and then mixing that with the people who have been there and done that at scale. So it is not a new motion for us. The dual focus on growth and productivity that we did talk about at Investor Day has been a focus for us and will continue to be to drive shareholder value.
Operator: This will conclude our question-and-answer session as well as our conference call for today. Thank you for attending today's presentation. You may now disconnect.